Operator: Good day, everyone. Welcome to Charles River Associates Third Quarter 2021 Earnings Conference Call. Please note that today’s call is being recorded. The company’s earnings release and prepared remarks from CRA’s Chief Financial Officer are posted on the Investor Relations section of CRA’s website at crai.com. With us today are CRA’s President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I would like to turn the call over to Mr. Mahoney for opening remarks. Dan, please go ahead.
Dan Mahoney: Thank you, Rob and good morning everyone. Please note that the statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin and any other statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management’s current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the extent and duration of the COVID-19 pandemic and any potential impact on our financial condition and results of operations. Additional information regarding these factors is included in today’s release and in CRA’s periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today’s release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Dan and good morning everyone. Thank you for joining us today. The third quarter of fiscal 2021 demonstrated continued momentum in our business and strong demand for CRA’s services. Building on the impressive first half of fiscal 2021, CRA extended its run of year-over-year revenue growth as the top line increased 12% relative to the third quarter of 2020. And this marked the 23rd consecutive quarter of year-over-year revenue growth. Furthermore, we have recorded double-digit growth in 16 of those 23 quarters, including each of the past 4 quarters through Q3. Our expansion was broad-based with 6 practices producing year-over-year revenue growth of more than 10%. Geographically, both our North American and international operations contribute to the quarter’s growth. To support this performance, we welcome nearly 100 new colleagues during the quarter as we increased headcount by 6.8% year-over-year. CRA’s top line growth drove significant profit expansion during the third quarter. Specifically, non-GAAP net income grew year-over-year by 80%. Earnings per diluted share grew by 89%, and EBITDA grew by 35%. It was truly an outstanding quarter. I would now like to highlight some of the services provided during the quarter. Within legal and regulatory, our Antitrust & Competition Economics practice continued its strong performance as it grew revenue by approximately 25% year-over-year. This growth was fueled by continued demand for antitrust and merger-related services. Worldwide M&A activity totaled $4.4 trillion during the first 9 months of 2021; an increase of 92% compared to year ago levels and the strongest first 3 quarters of M&A activity since records began in 1980. The first 9 months of 2021 have already surpassed the full year M&A record set in 2015 of $4.3 trillion. The third quarter of 2021 set an all-time high single quarter record with $1.6 trillion in worldwide M&A and was the fifth consecutive quarter to surpass $1 trillion. Against this backdrop, CRA worked on transactions across a range of industries and geographies. For example, CRA assisted a major building supplies distributor in winning unconditional antitrust clearance for acquisitions of distribution assets in different parts of the country. The CRA team demonstrated the presence of substantial competition across multiple product and geographic areas. Additionally, on August 10, the competition and markets authority in the UK unconditionally cleared NCR’s $2.5 billion acquisition of Cardtronics after a Phase I review. CRA teams advise NCR during the merger proceedings in both the UK. And the U.S. looking more broadly at the legal markets, trends and activity levels were mixed. Total case filings during the third quarter of 2021 were down 3% year-over-year. However, courtrooms continue their rebound in activity as the number of total court judgments during the third quarter increased by approximately 20% relative to the year ago period. In light of these conditions, I’m especially pleased with the strong growth in our legal and regulatory services, which saw every practice grow year-over-year. Our Antitrust & Competition economics, financial economics, forensic services and risk investigation and analytics practices led the way as each increased revenue by more than 20% year-over-year. During the quarter, CRA experts in our financial economics practice were engaged to consult and testify on matters involving mortgage loan servicing and property maintenance after foreclosures. Additionally, CRA has been retained by multiple clients to provide consulting services with respect to recent enforcement matters brought by the Consumer Financial Protection Bureau and the Department of Justice involving allegations of mortgage red lining, where either mortgage applications or origination activity were alleged to lag that of comparable peers in particular metropolitan areas. The forensic services practice continues to experience strong demand from companies across all major industries that need help responding to allegations of fraud, cybercrime, noncompliance and misconduct. For example, drawing upon CRA’s deep forensic accounting competencies and energy industry knowledge, the practice was retained to investigate and then testify on both damages and liability in a complex dispute between a global oil company and its franchiser in North America of auto of automotive maintenance and quick lube services. Leveraging our deep cyber incident response and eDiscovery competencies, the practice helped numerous clients respond to information security incidents. One was for a nonprofit hospital system that was victimized by a ransomware attack, which forced the hospital to shut down IT systems, cancel surgeries and divert emergency patients in order to ensure adequate patient safety. Our team helped investigate our hackers gain access to its systems and the actions they took once access was gained as well as in assisting with reports to the FBI and the Department of Homeland Security. During the third quarter, the risk investigations and analytics team continued its solid growth, winning and executing several large multidisciplinary investigations requiring the investigation of analytics, accounting and investigative skill sets in the U.S. and overseas. The risk team provided on the ground investigative support, asset tracing and political background and context to plaintiffs’ council in litigation involving and ongoing factor of trade secrets. In another matter, the team aided external counsel and a sophisticated vendor fraud scheme by uncovering a web of related party transactions by analyzing the flow of payments and modeling financial harm to the clients. Although not enjoying year-over-year growth relative to an extremely strong third quarter of 2020, our management consulting services continued to focus on our clients’ most critical issues. For several pharmaceutical companies, CRA’s life sciences practice has been developing patient flow models and demand forecast for new product opportunities, probing key sources of business and competitive dynamics. These clients are expecting to launch their therapies globally and the patient journey of information and related demand forecasts are critical to inform large – launch investment decisions and refine resourcing in the countries of interest. CRA’s energy practice is supporting AEP, one of the largest electric utilities in the U.S. with the integrated resource plans for its Oklahoma and Arkansas utilities. These resource plans contemplate a shift away from fossil fuel plants towards more renewable and storage to support AEP’s clean energy goals. During the third quarter, the practice also supported a major infrastructure investor in a complete reorganization of Romanian utility, including the strategy, finance, IT and trading functions. CRA also assisted the client in the carve-out of the retail business and strategic planning for management and growth of the company. Our Mericon practice continues to work with a wide variety of CEOs and their executive teams to ensure discipline around strategic resource allocations as a means to drive performance and accelerate major strategic priorities. As an example, Mericon has been supporting the development strategy and economics modeling and funding campaign for PNW Hydrogen, which recently won a $20 million grant from the Department of Energy for the production of green hydrogen, a significant milestone of that work in our effort to support our clients in the transition to green energy. I’m grateful to all my colleagues for their hard work as we continue to help our clients address their most important challenges. Through the first three quarters of fiscal 2021 on a constant currency basis relative to fiscal 2020, we have increased revenue by 14.6% to $425.1 million and non-GAAP EBITDA by 43% to $52.6 million, achieving a margin of 12.4% and these results demonstrate the strength and quality of our business as does the 13% year-over-year increase in new project originations experienced during the third quarter. While the business continues to deliver strong results, our performance could have been even better. Revenue in the third quarter was below our expectations as we experienced a rate of employee vacation time that was more than 20% higher than in the year ago period and was the highest rate for the third quarter over the prior 5 years. Although helpful for the health and well-being of our colleagues, the heightened vacation time acted as a headwind to our top line growth, which may continue during the November and December holidays. As a result, we are lowering our full year revenue guidance while maintaining our EBITDA margin guidance. For full year fiscal 2021 on a constant currency basis relative to 2020, we now expect revenue in the range of $560 million to $570 million and non-GAAP EBITDA margin to exceed the upper end of the range of 11.2% to 11.7%. With that, I will turn the call over to Chad, and then Dan for a few additional comments. Chad?
Chad Holmes: Thanks, Paul, and hello, everyone. I want to provide a few comments about our capital generation and deployment during the quarter. CRA remains committed to maximizing long-term value per share through the prudent deployment of capital. Given CRA’s strong cash flow generation, we expect to invest in the business for profitable growth while simultaneously returning meaningful capital to our shareholders. Against the backdrop of the pandemic, CRA continues to generate strong cash flows. For the trailing 12 months through the third quarter of fiscal 2021, CRA’s adjusted net cash flows from operations were $103.2 million or 18.1% of trailing 12 months revenue. These adjusted net cash flows from operations were 34% higher than a year ago on a trailing 12-month basis, driven primarily by the growth in our business. The third quarter of 2021 saw cash outlays of $5.1 million for talent and $600,000 on capital expenditures. In addition, during the third quarter, we reduced borrowings under our revolving line of credit by $39 million. We also returned $6.9 million of capital to our shareholders, consisting of $1.9 million of dividend payments and $5 million of share repurchases of approximately 53,000 shares. Through the first 9 months of fiscal 2021, we have returned $45.6 million of capital to our shareholders through a combination of share repurchases and dividend payments. As referenced in prior earnings calls, we continue to aim to return half of our adjusted net cash flows from operations to shareholders while still investing in the growth of CRA. Finally, demonstrating confidence in our long-term outlook and reflecting our commitment to return capital to shareholders. Earlier today, we announced a 19% increase in our quarterly cash dividend from $0.26 to $0.31 per common share. This dividend will be payable on December 10, 2021, to shareholders of record as of November 30, 2021. And now I’ll turn the call over to Dan for a few final comments. Dan?
Dan Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the third quarter of fiscal 2021. In terms of consultant headcount, we ended the third quarter of fiscal 2021 at 882, which consisted of 138 officers, 495 other senior staff and 249 junior staff. This represents a 6.8% increase compared with the 826 consultant headcount at the end of Q3 fiscal 2020. Non-GAAP selling, general and administrative expenses, excluding the 3.2% attributable to commissions to non-employee experts was 14.8% of revenue for the third quarter of fiscal 2021 compared with 15.2% a year ago. This quarter’s ratio was positively impacted by the revenue growth for Q3 and effective management of our overhead. We will continue to monitor our discretionary expenses to efficiently manage our overall progression to a more normal operating environment. The effective tax rate for the third quarter of fiscal 2021 on a non-GAAP basis was 14.8% compared with 28% on a non-GAAP basis for the third quarter of fiscal 2020. The lower rate in the third quarter of 2021 was primarily attributable to a greater benefit arising from the accounting for stock-based compensation. We estimate that our full year non-GAAP effective tax rate will be approximately 23%. Turning to the balance sheet, DSO at the end of the third quarter was 112 days compared with 103 days at the end of the second quarter of fiscal 2021. DSO in the third quarter consisted of 68 days of billed and 44 days of unbilled. At the end of the third quarter, the company’s liquidity remained strong, totaling approximately $189 million when taking into account the available capacity on our revolving line of credit and our cash balance. Looking more closely at the components, at the end of the third quarter, we had $6 million of outstanding borrowings under our revolving credit facility. We concluded the third quarter of fiscal 2021 with $19.7 million in cash and cash equivalents, with the majority residing internationally. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Andrew Nicholas with William Blair. Please, proceed with your questions.
Andrew Nicholas: Hi, good morning and thank you for taking my questions. My first one was just going to be on differences across the different geographies. It looks like international growth was a little bit lighter this quarter. Could you speak to maybe why that would have been and maybe more broadly, any differences between the different geographies in terms of demand and your outlook going forward?
Paul Maleh: Hey, good morning. Andrew, this is Paul Maleh. I’m not particularly concerned about the unique geographies. They have been pretty consistently on an upward ascension. Sometimes we have some volatility in terms of the rates of growth from quarter-to-quarter, but there is been no departures to speak of in Europe that would cause any kind of structural changes on the demand outlook. The inflow that we’re getting of interest from clients remains strong. So there is no factors that I can highlight for you to adjust your forward-thinking of Europe. It is summertime. Sometimes the holiday season in some of the European countries are a bit heavier in the months of July, August than that in North America. But that’s the only real thing I could point to in terms of differences of trajectory.
Andrew Nicholas: Great, thank you. And then switching gears a bit on the recruiting environment. Just wondering if you could spend some time talking about how the last couple of months have played out on that front. And maybe how you’re thinking about headcount growth in 2022 with the tighter labor market as a potential governor?
Paul Maleh: Sure. The – we are constantly in the market for recruiting. I take the questions you are asking me now pertain more to our university level hires, which begin with recruitment of people from under grad institutions and as we move further into the fall to mid-winter for people with graduate degrees. The market this year for labor I can say is definitely tighter than it was in 2020, but I wouldn’t say it is out of the ordinary from what we observed pre-pandemic on that talent for – the market for top talent is always tight, is always tight and you found a lot of the companies who maybe passed on last year’s recruiting cycle are back in the market this year given these top talent – these talented young people more opportunities. So, we still see the inflow of applicants coming into CRA to be strong. It’s early, but our yield to-date seems to be pretty consistent with yields we have experienced in the past. We have seen maybe a little more upward pressure on the starting salaries on people from under-grad institutions, but in the end net-net, I think it’s going to be largely immaterial to our overall margin.
Andrew Nicholas: That’s helpful. Thank you. And then maybe if I could squeeze one more question in. It’s obviously been a really, really good year for Antitrust & Competition economics, both on the M&A and non-M&A side. I was just wondering, I think historically, you’ve talked about that business being around 40% of revenue, give or take a few points. Could you speak to how much that practice has contributed to revenue year-to-date, recognizing it’s been a really good year?
Paul Maleh: They clearly have been a driver of year-to-date growth. I’m going off my recollection now. I believe they have enjoyed double-digit growth through the first three quarters of the year. The wonderful thing about what I’m seeing across our services, though, is last year, competition had a challenging 2020. As the M&A environment basically evaporated, but we still delivered double-digit growth in that year for our shareholders. And that’s because practices that maybe aren’t enjoying as strong a Q3, like our life sciences practice, really led the way last year with the expansion. So the reason you have a portfolio is sometimes that volatility cancels itself out but still leaves the firm on an upward ascension. So overall, I think the competition practice is probably still right around that 40% mark because other parts of the firm continue to grow and expand, but they definitely do lead the way in terms of brand recognition in the legal regulatory market for CRA.
Andrew Nicholas: Thanks a lot. Appreciate it.
Paul Maleh: Thank you, Andrew.
Operator: Our next question is coming from the line of Kevin Steinke with Barrington Research. Please, proceed with your questions.
Kevin Steinke: Good morning.
Paul Maleh: Good morning.
Kevin Steinke: I wanted – How are you?
Paul Maleh: Good, Kevin. Thank you.
Kevin Steinke: Great. I wanted to ask about the higher than – or the increase in vacation time. This is just purely my speculation, but have you picked up on any clues that perhaps it’s related to the pandemic and people traveling less over the last 12, 18 months, and all that. Things seem to be easing a bit, maybe just people are just trying to look to catch up on vacation time? Or just wondering what you might attribute the higher vacation time to?
Paul Maleh: Sure. It’s a good question. And really, quite frankly, a question that I would have hoped, I never had to answer. Talking about vacation time is sort of like talking about that the dog ate, my homework. And I wish there were more meaningful meaty explanations to give you why the revenue fell slightly short of what we expected, but it comes down to vacation time. It’s the highest third quarter that I’ve seen in the last 5, 6 years. It’s a significant increase year-over-year relative to last year. And the third quarter, it was actually 40% higher vacation usage than that what we experienced in Q1 and Q2 of Fiscal 2021. My colleagues have been working really hard. Really hard. So as I saw vacation start to surge as we started getting into the month of August, they needed to recover. So I wasn’t about to try to change the flow of people taking time off, particularly given how minor an impact it had on the overall revenue. And quite frankly, on the trajectory of the business because I don’t want it to also be overlooked that new projects still grew by 13%, and in the third quarter. So I think there was a bit of pent-up demand for vacation time after the record lows in 2020 and really continued lows to the first two quarters of 2021. But I don’t necessarily know whether that’s because people were getting on planes or traveling, I just think they are catching their breath. It is nothing that causes me any kind of medium to longer term concerns about the health and quality of our business.
Kevin Steinke: Okay. No, that’s helpful. Appreciate it. And just as you indicated there, clearly, it doesn’t sound like the slight reduction in revenue guidance is in any way related to a demand issue. You mentioned the 13% growth in new project originations. So should we still think about that solid demand environment going forward in terms of lead flow and all the other indicators you track in your business?
Paul Maleh: Yes. I think the indicators are still very positive. It’s hard to overlook that the new case filings that we summarized in the legal regulatory community are down by 3%. So we’re going to keep our eye on that. But so far, the new projects coming into CRA are still expanding at a very healthy rate. M&A environment still seems strong, still continued actions to increase regulatory oversight, both here in the states and in Europe are also positive for a number of our litigation-based practices. So, I haven’t seen any kind of structural change right now that has me concerned about the long-term prospects of CRA.
Kevin Steinke: Okay. Thanks. And I wanted to ask about the expectation now that the non-GAAP EBITDA margin is actually going to exceed the guidance range at the high end, at the same time that you are adjusting revenue slightly lower. So clearly, a strong trend in profitability, but maybe more commentary on what you would attribute that strong profitability to?
Paul Maleh: Sure. I think we have had record margins throughout 2021. In fact, I believe margins kept pace or even increased during Q3 and not to overplay the whole idea of the softer revenue, we are talking about approximately $5 million or so in terms of impact on Q3, and that’s roughly what we lowered the guidance to. The reason we didn’t reduce that range of the revenue guidance heading into Q4, like say we have done in the past, is because the uncertainty around vacation times and holidays that we have. We continue to learn from these last 18 months. You have got to take something positive about being in a worldwide pandemic. But I think we have learned how to operate more efficiently. We have learned how to service our clients more efficiently. Thus, they yield the benefits of those efforts, but our shareholders yield the benefits of those efforts by having stronger margins. You see SG&A is still towards the record low levels, nowhere near pre-pandemic levels on that. And you see continued strength in our gross margins, right. Even with the introducing of more than 100 new colleagues over the summer months, utilization was still 73%. So, there is a lot of factors that have gone into continued strong margins, but we were pretty pleased with the overall growth irrespective of where on the income statement you decided to look at in terms of profits.
Kevin Steinke: Okay. Good. I did notice when you look at the SG&A expenses, excluding the commissions to non-employee experts that was up a little less than $1 million sequentially at 14.8% of revenue compared to 13.0% in the second quarter, and you have talked about how you expect that to gradually tick up and maybe end up somewhere between that somewhat artificially low-13% level and the 18% or so level that you were prior to the pandemic. I mean should we think about some of the discretionary expenses starting to come back into the business now and that continuing to come up gradually or what – any more commentary on just kind of the expense trend line there?
Paul Maleh: Sure. First of all, the 18% that you referenced was SG&A levels that we were experiencing, 18% to 19% range, pre-pandemic. As I have said, the business has continued to grow. We are better able to leverage our infrastructure and there has been a lot of learnings over these last 18 months. Right now, our target in terms of a steady state is in the low 16% range. So, a significant improvement from what we were pre-pandemic, but an increase from what we are experiencing over these last 18 months. We are constantly looking at that figure to see if there are opportunities to deliver our services even more efficiently in the time ahead, right. Everyone is trying to gauge what this new normal will look like, but I think it’s also pretty uniform around the business world that, that new normal won’t look like 2019. So, the timeline of that is still a bit uncertain as we battle to turn the corner on this pandemic, but I still think there are opportunities for stronger profits in the quarters and years ahead.
Kevin Steinke: Okay. Just one last question for me, you referenced management consulting being down a bit year-over-year. It just sounded like that was just kind of typical ebb and flow in projects and maybe a tough comp for life sciences, but any more just commentary around that?
Paul Maleh: I think it is ebbs and flows. When you have a practice that has been growing at such a rapid rate in years prior to 2021, at sometimes, you have to reload, right. You continue to hire, you continue to try to develop your resources in that space. And I believe that’s all what it is. I could point to practically every practice at CRA, not just life sciences that have had these ebbs and flows. But I am going to say it again, what I find remarkable about this company’s performance is we have been about 6 years running now of constant growth in the overall portfolio. And it’s worth noting again that of those 23 quarters of constant year-over-year growth, 16 of them are double-digit. So, there hasn’t been a lot of time in between the reloading cycles, but it does happen as you decompose the components of your portfolio.
Kevin Steinke: Alright. Thank you for all the helpful comments. And I will turn over. Thanks.
Paul Maleh: Thank you, Kevin. Thank you.
Operator: Our next question is from the line of Marc Riddick with Sidoti & Company. Please state your question.
Marc Riddick: Hi, good morning.
Paul Maleh: Good morning Marc.
Marc Riddick: So, several of the things I kind of had in mind were already addressed. I did want to touch a little bit on – and you started to touch on this earlier. The utilization during third quarter was fairly – so I was ahead of my expectations, but fairly solid despite the addition of headcount. I was wondering if you could talk a little bit about that headcount addition and sort of that on-boarding that you are looking at, given the – do you address that a little differently than maybe you might have in the past with summer hires and the distance in the situation? And then maybe how we should think about getting them in a position to be able to contribute.
Paul Maleh: I think we definitely have addressed it differently than in years past. Last year was the – summer of 2020 was the first year in which we welcomed our new colleagues in a virtual world. So, we were sort of doing things on the fly. We learned from that process. And I think the Human Capital department, our IT department, the practices that are involved definitely delivered better orientation and integration support to our new colleagues in ‘21. ‘21 was still a virtual on-boarding. I am still a proponent that some in-person interactions do help with that on-boarding, but we definitely improved year-over-year. And even the levels of integration are starting to resemble the ramp that we experienced pre-pandemic. So, we are pretty happy with that. The one thing to always keep in mind, I am not putting up any red flags, but integration is really like a zero to six-month process, right. The first phase is you get everyone, there is a laptop. They are able to communicate. You learn – you teach them some basic skills. But the real-time mentorship training that happens as new colleagues join the firm, it takes a little time. But to-date, I am pretty pleased, Marc, with the job that my colleagues are doing.
Marc Riddick: And are there any things you could share around practice areas that were added to, or maybe if there are any particular services that maybe got a little bit more attention or targeting maybe this year versus last?
Paul Maleh: No, I guess it would make for a better story line if I had to just point out one practice. But when I highlight that six of our practices all grew double-digits in one quarter. These practices have been growing pretty consistently now for several quarters, several years. So, we are adding people across the portfolio. Sometimes that comes in ebbs and flows just because of the opportunities that are present in the marketplace. But those ebbs and flows, quite frankly, have little to do with any kind of uneven focus on the portfolio. I like my portfolio, I like my geographies and our goal is to add depth across both. And it really depends on where the market is presenting us with opportunities.
Marc Riddick: And I guess as a follow-up to that. Could you maybe talk about what you are seeing out there as far as the acquisition pipeline and kind of how you are feeling about what potential might be out there or what your feelings are on valuation levels and the like?
Paul Maleh: Yes. I don’t think many CEOs get up here and say, we are on unattractive destination and no one wants to join us. And I am not going to be the first. We have been able to attract top talent on both the grassroots level from the universities and also laterals throughout these past 6 years of this unprecedented period of growth for this firm. And those same qualities I think are still present today and still make us an attractive destination. As I have mentioned in the past, if I were to characterize something I have observed over these last 18 months for senior level recruiting, the courtship seems to be a bit longer than we had previously. And I just think that’s for a number of reasons. I am not going to attribute all of it to being largely in a virtual world, but there is a lot of uncertainty in people’s life and a transition of employers its added uncertainty. So, I think our recruits are trying to manage that. We are trying to manage that and make sure we have a good match of people we sort of bring in to the family here with it. But it’s really just the length of courtship is the one thing, I would say, is noticeable. I don’t think the price that we are seeing, the cost of recruiting to bring on high-level talent has changed. It’s still largely consistent with what we have experienced during the pandemic and pre-pandemic period.
Marc Riddick: Excellent. Thank you.
Paul Maleh: Thank you, Marc.
Operator: Thank you. I will now turn the conference back over to Mr. Maleh for any closing or additional remarks.
Paul Maleh: Again, thanks to everyone for joining us today. We generally appreciate your time and interest in CRA. We will be participating in virtual meetings with investors in the coming months, which will be announced by press release. And we look forward to updating you on our progress on the next earnings call. Thanks again. And with that, that concludes today’s call.
Operator: Thank you. Today’s call has concluded. You may disconnect your lines at this time. We thank you for your participation.